Operator: Good afternoon. My name is Kevin, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Paysign Inc. First Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. 
 The comments on today's call regarding Paysign's financial results will be on a GAAP basis, unless otherwise noted. Paysign's earnings release was disseminated to the SEC earlier today and can be found on the Investor Relations section of our website, paysign.com, which includes reconciliations of non-GAAP measures to GAAP-reported amounts. 
 Additionally, as set forth in more detail in our earnings release, I'd like to remind everyone that today's call will include forward-looking statements regarding Paysign's future performance. Actual performance could differ materially from these forward-looking statements. Information about the factors that could affect future performance is summarized at the end of Paysign's earnings release and in our recent SEC filings. 
 Lastly, a replay of this call will be available until August 7, 2024. Please see Paysign's first quarter earnings call announcement for details on how to access the replay. 
 It's now my pleasure to turn the call over to Mr. Mark Newcomer, CEO. Please go ahead. 
Mark Newcomer: Thank you, Kevin. Good afternoon, everyone, and welcome to our first quarter earnings call. I'm Mark Newcomer, President and Chief Executive Officer. Joining me today is Jeff Baker, our Chief Financial Officer. Also available for Q&A session are Matt Turner, our President of Patient Affordability; and Matt Lanford, our Chief Payments Officer. 
 Earlier today, we released our financial results for the first quarter of 2024. I'm delighted to report that we have seen substantial growth in both our top and bottom lines. Our first quarter revenue reached $13.2 million, marking a robust 30% increase year-over-year. Most impressively, our adjusted EBITDA increased by 135% to $1.7 million, or $0.03 per fully diluted share, up from $720,000, or $0.01 per fully diluted share in the previous year. We also observed significant improvements across other key performance indicators, including a 13% rise in gross dollar load volume and an 11% increase in gross spend volume. 
 In our previous earnings call, we highlighted the Patient Affordability business as a key growth driver for the company. I am pleased to affirm that its growth trajectory has not only continued but accelerated, exhibiting a remarkable 305% revenue increase from the same period last year from $590,000 in Q1 2023 to roughly $2.4 million in Q1 2024. This segment contributed 59% of our total year-over-year revenue growth. 
 During the quarter, we added a net total of 10 patient affordability programs, concluding with 53 active programs. Many of the new programs were well established ones that transitioned from another provider, delivering claims immediately upon onboarding. As we continue to demonstrate the value of our solutions to pharmaceutical manufacturers in the specialty drug space, we have successfully expanded into the retail drug programs, which typically have higher claims volumes. This expansion led to the addition of 4 retail programs in Q1, and we expect further launches throughout the year. 
 Our claims process in the first quarter increased by 235% compared to Q1 2023, a trend we expect to continue. Our sales cycle remains steady at 90 to 120 days, and our pipeline remains exceptionally robust, further enriched by our recent participation in the Asembia Summit held annually in late April to early May here in Las Vegas. 
 This event has proven to be crucial for our marketing, sales and client management efforts. And this year's summit was our most productive yet. We engaged in over 50 targeted meetings, addressing specific potential client concerns with overwhelming positive feedback. We are highly optimistic that the interactions from this year's Asembia Summit will lead to many long-term wins and further relationships with major pharmaceutical companies. Based on our current sales pipelines and the response from the summit, we expect patient affordability revenue will increase sequentially throughout the remainder of the year. 
 Our plasma donor compensation business also continued its growth trajectory, with revenue increasing to $10.4 million, up 11% from last year's first quarter. As typical of the first quarter, we experienced some seasonality due to the effects of donors receiving their tax refunds when many donors take a break from donating. Nevertheless, revenue per center grew by 5% from $7,066 in Q1 2023 to $7,414 in Q1 2024. 
 During the quarter, we added 6 new centers, 1 center was closed, and we ended the quarter servicing 469 centers. We anticipate adding 15 to 25 new centers throughout 2024. We expect moderate but stable growth in our plasma compensation business as the plasma collection industry stabilizes after a period of rapid expansion. 
 In summary, Q1 2024 has been another quarter of outstanding growth, particularly for our patient affordability business. We remain committed to our mission to bring innovative fintech solutions to the forefront of the patient affordability in health care ecosystems. 
 Our team has developed what we believe to be a truly disruptive product portfolio that continues to attract significant interest from major pharmaceutical companies. Our plasma business continues to grow steadily, and we remain optimistic about its future. We are also actively exploring other markets to enter and are investing in our people and systems to meet the rapidly growing demand for our products and services. This positions us well to capitalize on numerous opportunities ahead and deliver long-term value to our shareholders. 
 Jeff will now provide more insight to our financial performance for the quarter. 
Jeffery Baker: Thank you, Mark. Good afternoon, everyone. As Mark said, we started off 2024 with a solid start, fueled by continued growth across all of our businesses. Plasma donor compensation revenue increased $1 million or 11% to $10.4 million, driven by more plasma centers, 469 versus 439, at the end of the period; an increase in the average monthly revenue per plasma center of $7,414 versus $7,066; a 13% increase in gross dollar card loads; and an 11% increase in gross dollar spend volume, all while the average load amounts remain fairly steady. 
 Pharma patient affordability revenue increased $1.8 million or 305% to $2.4 million, primarily driven by the addition of 27 net new pharma patient affordability programs launched over the past 12 months. Pharma patient affordability revenue equated to 18% of total revenue during the quarter versus 6% during the same period last year. We exited the quarter with 53 active pharma patient affordability programs, an increase of 10 programs since the end of 2023. Other revenue increased $240,000 or 124% due to the growth in our payroll, retail and other corporate incentive businesses. 
 As in previous calls, with all of the details we provided in the press release and that will be available in our 10-Q filing tomorrow morning, I will simply hit the financial highlights for the first quarter of 2024 versus the same period last year. 
 First quarter 2024 total revenues of $13.2 million increased $3 million or 30% versus the same period last year. Gross profit margin for the quarter was 52.6% versus 49.8% during the same period last year, an improvement of 280 basis points. 
 SG&A for the quarter increased 19.5% to $5.9 million with total operating expenses increasing 24.3% to $7.2 million. We continue to make significant investments in IT and personnel to support the continued growth of our businesses. 
 We exited this quarter with 132 employees versus 112 during the same period last year. 
 For the quarter, we posted a net income of $309,000 or $0.01 per fully diluted share versus a net loss of $160,000 or just under breakeven per share for the same period last year. 
 We recorded a tax expense of $164,000 during the quarter for an effective tax rate of 34.7%. We expect the effective tax rate for the remaining quarters to be 25.65%.
 For the first quarter, adjusted EBITDA, which is a non-GAAP measure that adds back stock compensation to EBITDA, was $1.7 million or $0.03 per diluted share versus $720,000 or $0.01 per diluted share for the same period last year. This equates to 135% year-over-year growth in our adjusted EBITDA. The fully diluted share count for the quarter used in calculating the per share amount was 54.8 million shares, which reflects additional in-the-money options that were previously out of the money. The adjusted EBITDA margin was 12.8% versus 7.1% during the same period last year. 
 Regarding the health of our company. We exited the quarter with $7 million in unrestricted cash and 0 debt. This was a $10 million decline from the end of 2023, primarily due to the timing of accounts receivable and accounts payable payments related to our patient affordability business of $9.6 million. As discussed in the past, patient affordability customers are invoiced at the end of the period to reimburse funds used to cover related co-pay amounts for monthly patient affordability claims. The changes in these balances do not equate to the revenue per claim we charge the pharmaceutical companies for paying such claim amounts. We expect that as the business grows, so will the fluctuations in AR, AP and unrestricted cash. 
 Restricted cash increased $16 million to $108.3 million from the December 31, 2023, primarily due to increases in funds on cards of $2.7 million and customer deposits for our plasma and pharma customers of $13.2 million. Restricted cash or funds used for customer card funding and pharmaceutical claims with the corresponding offset under current liabilities. 
 As we did not complete any share repurchases during the first quarter, $3.9 million remains outstanding under our share repurchase program. 
 Now turning your attention to our second quarter 2024 guidance. We expect total revenues to increase by approximately 27.5% over the second quarter of 2023 with pharma revenue accounting for approximately 18% of the total. We expect adjusted EBITDA to increase 65% to 70% from the second quarter of 2023 with an adjusted EBITDA margin in the range of 13.5% to 14%. 
 With that, I would like to turn the call back over to Kevin for question and answers. 
Operator: [Operator Instructions] Our first question today is coming from Gary Prestopino from Barrington Research. 
Gary Prestopino: You gave us some idea of how many plasma centers you're going to add this year, which is great. Can you give us -- or are you willing to give us a range of how many new patient affordability programs do you think you're going to add this year? Or is that something you can't really share with us at this point? 
Matthew Turner: I think -- this is Matt Turner by the way. I don't know that we can give a number quite yet. Maybe as we get into the second quarter, we can probably narrow that down a little bit more. But just a lot of businesses like right now, we don't want to put out a number too soon. 
Gary Prestopino: Okay. But is it safe to say you've got a pretty full pipeline of potential opportunities? 
Matthew Turner: Yes. We're stacked with business between now and the end of the year. 
Gary Prestopino: Okay. And then just if you -- as you look at this business, right now, it's about -- just in this quarter, it is about 25% of your total of the pharma revenues or the plasma revenues that you generate. Does this business have the potential, over time, to grow to be bigger than the actual plasma business that you have so the income statement would flip flop where you'd get more pharma revenue every quarter than plasma? 
Mark Newcomer: Yes, absolutely. 
Gary Prestopino: Okay. So there's a huge runway out there for what you guys are doing, right? 
Mark Newcomer: Yes. I would say, I mean we have a much larger TAM associated. And basically, from my view, and we've been looking at this for a number of years, it's not a matter of if, it's a matter of when it's going to surpass the plasma. So I do feel that's coming. 
Gary Prestopino: And what is the TAM? 
Matthew Turner: So that's a really great question that I think everybody's asked us in almost every meeting. It's very difficult to narrow down what the TAM is because the funds used to pay for this are typically part of the marketing funds. So if a pharma company allocates $500 million in marketing for a specific drug, we don't really necessarily know what percentage comes to us. 
 We think right now, there's around 1,500 active -- 1,500 to 1,600 active co-pay programs in the space right now. And kind of just backing into a guesstimate of number of claims and things like that, we certainly feel like the TAM is north of $500 million. We certainly think that number is probably higher. And we're kind of working with some different consultants right now to see if we can zero in on that. But right now, we think the TAM is certainly north of $500 million. 
Gary Prestopino: Okay. And then just the last question. Could you -- are there some public competitors out there that do this? Or is it mostly done by private firms versus divisions of larger firms? 
Matthew Turner: Yes. So it's -- there's a lot of divisions of larger firms that do this. We're -- I'll kind of -- I'll talk about us for just one second and then I'll kind of talk to you about some other people in the space. 
 So we're one of the only companies out there that only does patient affordability. We don't try to do a whole bunch of the other add-on services that really require an entirely different subset of specialty knowledge. Those would be like hub service companies. 
 So there may be 1 or 2 other very small companies out there. When I say very small, I mean, like employees in the numbers of tens that are out there doing this in conjunction with some other stuff. But if you want to look at companies to offer co-pay assistance as part of their overall offerings, McKesson has a subsidiary called CoverMyMeds, which was formerly RxCrossroads. 
 You have Mercalis, which until recently was named TrialCard. You have ConnectiveRx, which is owned by Genstar. They're private equity held. And Eversana, which is, I think, a VC- or PE-backed company. So really only -- then you've got the last that's owned by AmerisourceBergen. 
 So you've got 2 people that are publicly traded, and have very -- but I mean for McKesson, CoverMyMeds is a rounding error with the amount of money that McKesson makes. So there's not really detailed financials out there around this business in the public sector. 
Operator: [Operator Instructions] Our next question is coming from Jon Hickman from Ladenburg Thalmann. 
Jon Hickman: Sorry. I had a quick question. So each pharma program is an individual drug. Is that -- that's true, right? 
Matthew Turner: No, not necessarily. We have programs that contemplate multiple drugs. We have programs that contemplate multiple drugs or multiple offers for a single drug. So you can't -- it's not quite as simple as a drug is a program. You could have a program that has several drugs in it, and you can have a program that has technically like several programs within it. We typically look at SOW-based business when we're talking about the programs. 
Jon Hickman: So could you tell us how many separate pharmaceutical companies you're working for? 
Matthew Turner: I don't have the number in front of me right now. Out of 53 active programs... 
Unknown Executive: At least upper 40s. 
Matthew Turner: Yes, at least somewhere north of 40. Yes. And then we have larger manufacturers now that came on during the first quarter that we're running -- for one of them, we're running 9 programs now; in another, we're running 5. So we've got -- we've got some -- I don't want to say, repeat business, but we're getting multiple programs now from larger manufacturers that have very large portfolios of business. So when I say we're getting 9, we have 9 programs out of one manufacturer, that's just the start for that. We're going to get more programs from them. 
Jon Hickman: So the risk for you is that a program -- is that a drug goes generic, and the growth is new drugs coming on getting approved out of the FDA? 
Matthew Turner: Yes. So there's -- well, the growth potential is one in new business. We're -- if you look at our track record over the last -- well, I mean, the last 5 years, right? We are predominantly focused on transition business, and it's because it delivers immediate claim volumes. Now we've gotten plenty of new-to-market drugs as well, especially in the oncology space. But those program numbers tend to be -- so the patient counts tend to be a lot lower, which means the claim counts are going to be lower. 
 So our goal, right, is to kind of diversify the types of clients that we're bringing on to whether we do retail or specialty and whether they are transition or new. If we have a transition product and it's been out there for 5 years, hey, maybe we have 3 years left where we're going to have really high volumes, and then you'll see them slide back off. But just because the drug goes generic doesn't mean that the claim volume cease to exist. 
 If you go back to the days of CRESTOR, LIPITOR Plavix, right, when those drugs came out, CRESTOR went LOE, or loss of exclusivity, the pharma company did an amazing job in contracting of keeping that drug on Tier 1 formulary above generics. So even though -- especially in the retail space, when a drug goes generic, it doesn't necessarily mean the end of co-pay. You look at all the Humira biosimilars that are out there now, look at formulary coverage for Humira, there's like 9 or 10 generics or biosimilars -- no one calls them generics -- but there's 9 or 10 biosimilars available. Humira still has top bill in that space for a lot of plans. 
 So we don't want a bunch of assets coming on that are going to lose exclusivity in 6 or 12 months, right? So we like stuff that's got some tail left to it to deliver some immediate volume now while we continue to build the overall long-term multiyear pipeline. 
Jon Hickman: Okay. That was very good. And nice quarter. 
Mark Newcomer: Thank you. 
Operator: Thank you. We reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments. 
Mark Newcomer: I'd like to thank everybody for joining us today. A special thank goes out to all of our employees and our Board for their continued hard work and support. 2024 has started off very excitingly, and I believe the rest of the year will be equally promising. We're looking forward to updating you on the next call. Thank you all very much for joining, and have a great day. 
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.